Operator: Thank you for standing by. This is the conference operator. Welcome to the Second Quarter 2025 Results Conference Call and Webcast for Canadian Utilities Limited. [Operator Instructions] The conference is being recorded. [Operator Instructions] I would now like to turn the conference over to Mr. Colin Jackson, Senior Vice President, Financial Operations. Please go ahead, Mr. Jackson.
Colin R. Jackson: Thank you, and good morning, everyone. We are pleased you could join us for the Canadian Utilities Second Quarter 2025 Conference Call. On the line today, we have Bob Myles, Chief Executive Officer, Canadian Utilities Limited; and Katie Patrick, Executive Vice President, Chief Financial and Investment Officer. Before we move into today's remarks, I would like to take a moment to acknowledge the numerous traditional territories and home lands on which our global facilities are located. Today, I am speaking to you from our ATCO Park head office in Calgary, which is located in the Treaty 7 region. This is the ancestral territory of the Blackfoot Confederacy comprised of the Siksika, the Kainai and the Piikani Nations, the Tsuut'ina Nation and the Stoney Nakoda Nations, which includes the Chiniki, Bearspaw and Goodstoney First Nations. I also want to recognize that the City of Calgary is home to the Metis Nation of Alberta, Districts 5 and 6. During our second quarter, we proudly celebrated National Indigenous History Month in Canada, time to honor the stories, achievements and resilience of indigenous people. May we continue to respect and celebrate the diverse history, languages and culture of indigenous peoples beyond the month of June. Today, you'll hear from Bob who will deliver opening comments along with key developments within our ATCO Energy Systems and ATCO EnPower businesses. And then you'll hear from Katie, who will discuss our Q2 financial results. Following today's remarks, the Canadian Utilities team will take questions from the investment community. Please note that a replay of the conference call, a copy of the presentation, today's transcript will be available on our website at canadianutilities.com following the call. The materials can be found in the Investor section under Events and Presentations. Today's remarks will include forward-looking statements that are subject to important risks and uncertainties. For more information on these risks and uncertainties, please refer to our filings with the Canadian security regulators. During today's presentation, we may refer to certain non-GAAP and other financial measures, including adjusted earnings and adjusted earnings per share. These measures do not have any standardized meaning under IFRS, and as a result, they may not be comparable to similar measures presented with other entities. Please refer to our filings with the Canadian security regulators for more information. And with that, I'll turn the call over to Bob for his opening remarks.
Robert J. Myles: Thanks, Colin, and good morning, everyone. Thank you for joining us today. Let's begin with our largest asset, ATCO Energy Systems, which includes our Alberta Utilities. As we strategize and execute on our plans through 2027, we expect growth to be predominantly driven by projects in our transmission businesses in addition to pursuing efficiencies across all of our utilities. Our growth plan is the largest capital plan on which our company has ever embarked and encompasses a robust project pipeline, including the Central East Transfer-Out Project and the Yellowhead pipeline project. These, combined with other future opportunities, including those we expect to be directly assigned by the AESO sets us up to deliver significant growth for our shareowners and investors over the long term. We look forward to sharing our plans beyond 2027, and we'll update our 3-year capital forecast in our year-end disclosures. Now jumping into our current major projects. Our Central East Transfer-Out project, or CETO is well into the construction phase and remains on track to be completed in mid-2026. This CAD 280 million project upgrades and strengthens the transmission system in Central East Alberta to the rest of Alberta's interconnected electric system, improving the reliability and reducing congestion in this area. We are proud of this project and the impact it will have on our customers across Alberta. CETO is essential for integrating additional renewable energy resources and enhancing the reliability of the transmission system. As Alberta's energy landscape continues to evolve, it's crucial we invest in projects that address our provinces changing energy needs, enhancing Alberta's energy infrastructure, while enabling a modernized system that can readily accommodate generation. We also continue to see positive momentum on our CAD 2.8 billion Yellowhead pipeline project. The impact of this project cannot be understated. Without the Yellowhead pipeline, we believe there will be a shortfall of gas delivery on Alberta system due to capacity constraints. At already 90% contracted, the Yellowhead pipeline will serve communities across Alberta, strengthening the province's natural gas network and supporting Alberta's growing industrial sector, including petrochemicals and refining. As I've indicated previously, with construction set to begin in 2026, the Yellowhead pipeline will deliver long-term economic benefits including 24,000 jobs by 2028, CAD 20 billion in investments and will contribute CAD 3.9 billion annually to Alberta's GDP. Regarding our needs application for the Yellowhead pipeline projects, we expect to hear back from the AUC in August of this year. We will then file our facilities application in Q4. As we move through the regulatory process for Yellowhead, our teams are proactively working through the procurement process for key project materials, including the sourcing of our steel pipe. Moving to the regulatory front. In 2024, the Alberta Utilities Commission issued its decision on Phase 1 of the second generation of the performance- based regulation or PBR2 framework review. The AUC claimed that the distribution business has failed to quantify or attribute all efficiency gains under PBR2 to specific programs or initiatives. We disagree and our appeal with the Alberta Court of Appeal is expected to be heard in the first half of 2026. In May 2025, the AUC issued a second decision related to PBR2 re-opener proceeding, involving a refund to customers. Following this Phase 2 decision, we submitted a review and variance and a permission to appeal the AUC and Alberta Court of Appeal last month. At the core of its framework, PBR incentivizes utilities to reduce costs, while maintaining safe and reliable service and then share these cost savings with customers. With that, we are extremely disappointed with the position announced by the AUC, and we fundamentally disagree with its recent decisions. We are the only utility in Alberta to reduce distribution costs during the PBR2 regulatory term, delivering more than CAD 500 million of savings in distribution costs, which customers are already benefiting from over the 2023 to 2028 period. As we move forward, we remain focused on being a leader in advocating for a fair, affordable and efficient regulatory and business environment in Alberta. Before we jump into the other parts of the business, I want to take a moment to address the current wildfire situation in certain parts of our service territory. Currently, there are over 50 active wildfires across Alberta. Addressing wildfires is a collaborative effort, and I want to thank everybody who continues to support these efforts, including our team members, first responders, businesses, government and local authorities who are working around the clock to keep our communities safe. At this time, we remain focused on the safety of our employees and communities where we operate. While there's been no impact -- material impact to our assets, we continue to work with all parties to ensure the safety of the communities and to take proactive measures, including wildfire mitigation and fireproofing of our infrastructure. We have an ambitious capital program and are committed to building a resilient energy system that can withstand the impacts of extreme weather- related events, including wildfires. As part of our plan and spend, our focus continues to be on wildfire mitigation. Investing in a robust energy system includes resilient hardware such as composite poles and undergrounding. This protects our assets and the communities where we operate, and having a stable, reliable and resilient power grid has never been more important. Now moving to our ATCO EnPower business. Starting with our hydrogen development at the ATCO Heartland Hydrogen Hub or AH3, as we call it, we are optimistic on recent policy developments, including Bill C-5, which includes the Building Canada Act. This Act aims to reduce project approval duplication between federal and provincial governments with a 1 project, 1 review approach. We believe this is a positive step in the right direction, accelerating the regulatory process for national interest projects and signaling investor confidence. We continue to engage in conversations with key stakeholders, including federal and provincial governments to ensure our project is seen both as a nation-building project priority and part of Canada's ambition to be an energy superpower. We, along with our identified strategic partners, remain committed to advancing the development of this project once the regulatory framework is in place to ensure their production and transport of ammonia economically to Asia and any other consuming nations. We await a final decision by all levels of the Canadian government to enable both the approvals for transport and the economic frameworks to move forward with this project. For our Storage and Industrial Water segment, gas storage remains a fundamental asset to ATCO EnPower. Looking at our history, since 2021, we have more than doubled our capacity from 52 petajoules to 117 petajoules and expect to see our per annum revenue in 2025 more than triple from that of 2021. We would like to acknowledge both our commercial project and our operational teams for this performance and the results achieved to date. Within Alberta, we continue to see strong fundamentals with increased demand for storage stemming from the start of the LNG exports and continued development of further export volumes in the coming years, the increased demand from additional gas power generation and other industrial demand within Alberta. We see similar market fundamentals throughout North America as we explore opportunities for ATCO EnPower to achieve further growth in storage capacity and revenues beyond Alberta. Our storage facilities are highly contracted next year and positions us well to repeat this record performance that we saw in 2026 -- or sorry, that we've seen in 2025. We have made final investment decisions to expand our existing storage capacity by approximately 10% through further well development and facility improvement projects with expected in-service dates for 2026. Over the next year, we will evaluate further expansion opportunities, including possible pool extensions at both our Carbon and Alberta Hub natural gas storage facilities. In addition to these organic opportunities, we will continue to review inorganic growth available to complement our storage portfolio both within Alberta and in other jurisdictions. With that, I'll pass the call to Katie to discuss our Q2 financial results.
Katherine-Jane Patrick: Thanks, Bob, and good morning, everyone. Looking at our second quarter performance for Canadian Utilities as a whole, we delivered positive earnings growth year-over-year. We achieved adjusted earnings of CAD 121 million or CAD 0.45 per share, up from CAD 117 million for the same period in 2024. This was despite significant headwinds, including a reduction in our ROE for our Alberta Utilities, conclusion of the Efficiency Carryover Mechanism or ECM, and challenges in renewable generation, more of which I'll touch on in a moment. ATCO Energy Systems delivered adjusted earnings of CAD 116 million in the quarter, CAD 4 million higher year-over-year. Despite over CAD 6 million of headwinds faced from the reset in our allowable ROE and conclusion of the ECM for our distribution utilities, we still delivered growth within Energy Systems. This performance was driven by growth in rate base across our utilities and cost efficiencies. It has been a great start to the year at Energy Systems with earnings up over 4% year-over-year. In 2025, we will generate quality earnings, but expect full year earnings growth to be more moderate at year-end, impacted in part by positive tax efficiencies that we had in the second half of 2024. Moving to ATCO EnPower, we delivered adjusted earnings of CAD 12 million for the quarter. Although earnings were down year- over-year, this was primarily due to a challenging wind environment in Alberta and the higher compensation we received in the prior year period related to turbine availability guarantees at our Forty Mile wind facility. Excluding these events, the EnPower business performed well, as strong earnings growth was delivered within natural gas storage. As Bob outlined earlier, we have strong fundamentals at our natural gas storage assets, and we plan to further capitalize on the opportunities available in the coming years. ATCO Australia delivered adjusted earnings of CAD 21 million in Q2. This is CAD 4 million or 24% higher than the same period last year. As a reminder, on January 1, 2025, ATCO Gas Australia moves to operate under the Sixth Access Arrangement or AA6, which has a higher ROE of 8.23%. ATCO Australia continues to execute its strategy and be a provider of stable cash generation, while driving consistent earnings for CUL. In the financing and other segment, adjusted earnings were CAD 2 million higher compared to the same period in 2024. This was mainly due to the timing of some corporate expenses. As I outlined at the beginning, our business performance performed very well, achieving positive earnings for the quarter despite headwinds. We continue to actively monitor our cash generation, which will be used in combination with external funding to finance our enhanced capital program. Year-to-date, our cash flows from operating activities increased by CAD 105 million year-over-year to CAD 1 billion. This demonstrates growth within our businesses, yielding additional cash flow, which in turn allows us to increase capital spending and investment in the business. Year-to-date, our capital expenditures increased by CAD 145 million year-over-year to CAD 783 million. This increase in spending is reflective of the funding required for system upgrades and maintenance to our existing infrastructure, along with investments into the growth projects that Bob highlighted earlier. Our strong start to the year positions us well to deliver the financial plan we set for ourselves in 2025. Currently, we remain focused on finding efficiencies across our organization and continuing to execute on our strategy to generate long-term value for all stakeholders, including shareowners. That concludes our prepared remarks. I will now turn the call back to Colin.
Colin R. Jackson: Thank you, Katie. Thank you, Katie and Bob. In the interest of time, we ask that you limit yourself to 2 questions. If you have additional questions, you are welcome to rejoin the queue. I will now turn it back to our conference coordinator for questions.
Operator: [Operator Instructions] Our first question is from Rob Hope with Scotiabank.
Robert Hope: In the prepared remarks, you mentioned the potential for inorganic growth in other jurisdictions on the gas storage side. Maybe more broadly, how are you thinking about inorganic growth across the business? And what geographies would be of most interest to you?
Robert J. Myles: Hi, Rob. Bob, here. Yes, we're absolutely interested in looking at inorganic growth for sure in our gas storage business. We'd be interested in looking at gas storage opportunities across North America. As you know, we're very comfortable with the environment in Alberta, but we believe in the fundamentals of gas storage, and we think there's great opportunities across North America. So we're definitely interested in that. With regards to other inorganic opportunities, we continue to look at opportunities across our midstream sector. So that would be in the other complementary areas of our gas storage, so NGL storage, we'd look at that as well. And then we continue to look at opportunities in generation, but I would say the generation opportunities are more tied to the things not in the renewable space and more in the gas-fired generation, we continue to look at that opportunity as well. And then, of course, we're always interested in our utility space, but that's -- we've got enough growth in our current province. So we're probably not going to look at inorganic in the utility space right now.
Operator: The next question is from Ben Pham with BMO.
Benjamin Pham: Maybe just on the storage side of things, with your update. Thanks for that. Can you remind us with your existing storage business. Is it mostly a contracted revenue model versus the seasonal spreads that maybe some other players have been engaging in?
Robert J. Myles: Ben, I'd say it's both. We actually do enter into longer-term contracts. I mean, that is definitely a key part to our business. But we also, in addition to that, we do look to do day-to-day deals as well, which tie back to the daily spreads. And so it's a combination of both. And obviously, our objective is to maximize our revenue opportunities.
Benjamin Pham: Okay. Got it. And then I know you've been mentioning on the financing side with First Nations monetization, that I think that's in reference to Yellowhead. Can you talk about progression so far on that funding initiative? And then is it also maybe more expansive to even monetization of existing utility assets you have?
Katherine-Jane Patrick: Hi, Ben, it's Katie. Thanks for the question. I think we are -- we're very proud of our long history of partnering with indigenous communities. We could say many examples when we talk about how we do that, and we will continue to have broad relationships with those communities. I would say specifically in reference to Yellowhead, we are progressing those discussions. We are in the early stages of meeting with many of the communities, starting to discuss the partnership arrangement. We don't have any definitive terms as yet, and we will keep everyone updated as we continue that dialogue with the indigenous communities, but there's certainly interest. It's a great project for Alberta, and there's lots of interest in participating.
Benjamin Pham: And it sounds like just the way that the policy is set with the loan guarantees and the Canada Infrastructure Bank, it's more limited to newer projects. Is that correct?
Robert J. Myles: Well, maybe I'll kind of jump in, Katie. Then I would say that we've looked at both. If you look at our solar projects that we have here in Calgary, we constructed those projects, and then we partnered with indigenous communities to become owners in those assets after they were built. So we continue to always look at opportunities where we can partner with those with different indigenous communities. Yellowhead is a very large project. And so obviously, there's a lot more focus on that right now. And as Katie said, we're making some good progress. We have informed the AUC of that process as well. So it's just -- it's obviously a much larger opportunity.
Operator: The next question is from Maurice Choy with RBC.
Maurice Choy: Just 1 follow-up on a previous comment about inorganic growth. You mentioned nonrenewables. So let's assume for now it's gas- fired power generation. Do you mean you're looking at inorganic growth relating to these type of assets in Alberta or you're kind of referencing that you might be open to U.S. deals as well?
Robert J. Myles: Sorry, Maurice, just so I'm clear, did you say just with regards to generation or all inorganic growth outside Alberta. Sorry, just so I'm clear.
Maurice Choy: Just generation.
Robert J. Myles: Just generation. I mean, our focus, I'd say, priority focus would be looking at generation in Alberta. We just feel a lot more, I guess, comfortable understanding the marketplace here with regards to our current generation. But if the right opportunity came along outside Alberta, we would definitely evaluate and consider it as well. I would say outside Alberta, though, my view is more looking at opportunities in the gas storage space.
Maurice Choy: Got it. And I guess, when you think about the size of these type of deals, if these ever do emerge, how do you think about funding these, recognizing that there is a funding need associated with Yellowhead, particularly next year?
Katherine-Jane Patrick: Yes. I mean, I think -- thanks, Maurice. We've talked a lot about our financing strategy, and we continue to progress on that, including specifically the need for Yellowhead. We do -- as we saw in the quarter, we did access to capital markets for long-term debt at CU, and there was very strong demand for that product. So I think we have a multitude of different financing sources should we choose to access them. And obviously, each project or initiative that we would look at, would be judged against its ability to be accretive for shareholders and how we can make sure that we do that through the combination of financing sources we have.
Maurice Choy: Understood. And if I could just finish off with just on the project front, particularly on hydrogen. I quite like the time line you've laid on Slide 6 for CETO and Yellowhead. So I wonder whether or not you could paint a similar time line for the hydrogen project. I know you mentioned in your prepared remarks that you're waiting for final decisions by all governments on approvals and transport and economic frameworks. So if you could just help us understand quarter-by-quarter play or maybe in half year play, what we should expect on this project.
Robert J. Myles: Maurice, where I am on the hydrogen opportunity and ammonia by rail is it really is coming down to our ability to work with government to address the ammonia by rail situation and getting everyone in agreement that we can transport ammonia by rail and do it efficiently, and mostly cost efficiently. So without that, there really won't be an opportunity to develop that in Canada, unfortunately. So we're working closely with government to try to get that in place. And so I'd like to think that we can get that done if it's going to get done in the next 6 months. So in other words, in 2025.
Maurice Choy: Got you. Is there any bottlenecks or complications on the export terminal side? Or is that all pretty clear what the solution is?
Robert J. Myles: No. I believe that there's -- the terminal is definitely interested in expanding for ammonia. It really comes down to the rail getting ammonia by rail in place. And a lot of interest -- not to go into the details and too much on it, but there's a lot of interest in the Asian market to source ammonia from Canada, but we just have to be able to show that we can actually provide -- get the product to Asia.
Operator: Next question is from John Mould with TD Cowen.
John Mould: On ATCO EnPower and mainly renewables, but also on gas-fired power, just given your prior comments in the Q&A. We may have some line of sight on a more normalized power price in Alberta given the potential for large loads later in the decade. At what point do you start to get more active on development in anticipation of that rebound. And renewables, how does the uncertainty around tier and the direction of those credits play into that investment decision? And then on the gas side, what kind of a barrier do the clean electricity regulations represent to spending real effort on that in your mind?
Robert J. Myles: Yes, that's a big question. I believe that the long-term outlook for power prices in this province is very attractive. And so -- but with -- in saying that, there still is a lot of uncertainty with the restructured energy market and how that's going to play out. There's also uncertainty around the transmission regulations and with regards to congestion and the policies that are going to be put in place here. So we still need to see more certainty on that before we make any really large investments in the province on generation. And I think not to speak for others, but I think that's probably shared by many players as well. And so those are the first things we really need to see happen. We are a believer in gas. We think gas will be here for a long time. And so we're very committed to our gas investments here. And with regards to expanding and developing some of our renewable opportunities in this province, and we do have some opportunities to do that. We really need to see a lot more certainty around the electricity structure here before we would do that.
John Mould: Okay. Great. And then maybe just one on LUMA. Can you provide some insight into your ongoing discussions with stakeholders in Puerto Rico around that contract?
Robert J. Myles: Yes. Sure, John. The situation in Puerto Rico is, I believe everyone is committed. I can tell you we're committed to improving the electricity situation on the island. However, it's really -- it's rather complicated. When you look at the current conflict, current difficulties we have with the current political environment there. And so we need to continue to work on that, which we are. Our partner, Quanta and ourselves are probably dealing with that daily, and there definitely is a need for a significant investment to improve the system, and we're committed to being the partner to do that. But it's definitely -- there's a lot more work to be done on the political side down there as well.
Operator: The next question is from Mark Jarvi with CIBC Capital Markets.
Mark Thomas Jarvi: Maybe just coming back to the Hydrogen Hub project. You talked about maybe clarity on the rail in 6 months. I'm just curious if the window is shrinking here on the opportunity. Like in terms of your engagement with the customers, are they going to look to other markets? I'm just curious if it takes longer than 6 months, does this opportunity pass you by then in terms of exports?
Robert J. Myles: Yes, Mark, my beliefs on hydrogen, I am a believer in it. I think it's a great opportunity for, not only ourselves, but for our country, as you and I have discussed a few times. I think one of the things that happened is the customers in the Asian market, they really see this as 3 different sources. One is the Middle East. The second one is the Gulf Coast. The third one is Canada. And in all 3 locations, there is uncertainty right now as to the availability of supply as well as the price of the supply. So I do think we have this window of an opportunity to actually execute on this, but we have to move quickly. Otherwise, the Asian market will contract elsewhere, and we will have lost it, as you have said. So I do think there is a short window that we have to execute.
Mark Thomas Jarvi: And then your comments about the rail and both cost and safety. If you had to rank one or the other, is it more the safety and just in terms of who bears the risk of any issues in terms of spillage. Is that bigger than the cost? Or are they pretty equal?
Robert J. Myles: I would say they're -- I don't know if they're exactly equal, Mark, but they're both important. And even if we solve the safety side and the risk assessment that we -- and we want to operate safely as well. I think we're all committed to doing that. But even if we do that, the rail improvements that the industry wants to make, you can't have 1 project pay for those improvements. And that's the challenge we have is that we need more than just 1 project to proceed. We believe there will be more. We're interested in building more than just 1 project. And -- but it's the first one that we need to figure out how to make that work. So it's a bit of both.
Mark Thomas Jarvi: And then coming to the funding conversation, potential sell-down with Yellowhead. How would you think about the likelihood of issuing equity at this point. That was something you considered. There was minority sell-downs, partnerships. Do you feel like you're getting enough traction on partnerships and sell-downs that issuing equity is very remote at this point or just sort of how you're weighing those different opportunities?
Katherine-Jane Patrick: Yes. Thanks. It's Katie. I think that we are -- so the partnerships and the indigenous partnerships certainly wouldn't solve the entire external need that we have, but we're very confident in our ability to get that done, and that will help with some of the funding required for the project. We're not going to take -- we're not taking equity completely off the table. There could be equity for a number of different reasons, including Yellowhead and other growth opportunities that we have. That said, I think we do have a path to use some of our balance sheet funding that we have available to fund this project in particular. But we're going to monitor what's the best cost of capital and the best option for shareholders over the coming year to finance that project.
Mark Thomas Jarvi: And then can you kind of frame how much of the project -- I'm talking about Yellowhead, you'd be willing to sell down? Because up to 49%, like is it like more like a 15%, 20% stake that you'd look to sell down, yes?
Katherine-Jane Patrick: Yes. We're not looking for at the top end of what you were saying there. I think it's more in around the 30% range. So we'll be looking to sell down on that from the indigenous partnership perspective.
Operator: [Operator Instructions] Our next question is from Patrick Kenny with National Bank Financial.
Patrick Kenny: Just on the growing narrative and overall support around developing Canada's resources and infrastructure in the northern territories and regions. I was just curious if you're starting to look at some larger scale opportunities, either partnering up with the federal government or other private partners just to accelerate some new either regulated or unregulated projects, a bit of an open-ended question, I guess, just in terms of what role you expect to play in developing Canada's North over the coming years?
Robert J. Myles: Patrick, I think you know, ATCO, our organization, we're very committed to the North. And that goes along with our commitments to indigenous communities as well and our partnerships with them. We are looking at a number of opportunities in the north, but I would say that would probably be more on our ATCO side of our business than on the Canadian Utilities side of the business. We do have electric business in the north. We do have some gas midstream facilities in the north as well that we would look to continue to grow those as the opportunities arise. But we think Northern Canada is a great opportunity for our ATCO organization. And Katie, I think you'd agree with that as well as we look at some of the opportunities that we're pursuing across our group of companies.
Katherine-Jane Patrick: Yes, absolutely. And certainly something we can probably -- we can discuss on the ATCO call in terms of some of the opportunities we are seeing up in the north. We have a strong presence from the ATCO Frontec business as well, is just generally a long-term history in the north.
Patrick Kenny: Okay. And this one is probably for you, Katie as well. Just on the PBR2 re-opener, and I guess some of the disputes with the AUC, coupled with the heightened focus around needing to mitigate wildfire risk. Just wondering if your discussions with the rating agencies are leading to any requirement to build a little bit more cushion on any of your credit metrics? Or just any update you have there?
Katherine-Jane Patrick: Yes. I mean -- as you know, we have a strong credit rating at A-. Obviously, as we go in through some of this build through Yellowhead, we will see some pressure on our credit metrics during that greenfield build time, but that is a temporary situation. The PBR re-opener, we view that as a temporary, as we said, the temporary use of cash because we are confident in our ability to win on appeal on that. So I mean, I think the rating agencies are aware about these issues, and we are currently in for our annual review with them, but we still feel very confident in the strength of our balance sheet and our credit rating.
Operator: This concludes the question-and-answer session. I'd like to turn the conference back over to Mr. Colin Jackson for any closing remarks.
Colin R. Jackson: Thank you, [ Galen ]. And thank you all for participating today. We appreciate your interest in Canadian Utilities and we look forward to speaking with you again soon.
Operator: This brings to a close today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.